Operator: Good morning. I would like to turn the call over to Derek Davis, Interim Vice President, Investor Relations. As a reminder, today’s call is being recorded. Mr. Davis, you may begin your call.
Derek Davis: Thank you and good morning. Welcome to Zimmer Biomet’s Fourth Quarter and Full Year 2017 Earnings Conference Call. Joining me today is our President and CEO, Bryan Hanson as well as our CFO, Dan Florin. Before we get started, I would like to remind you that our comments during this call will include forward-looking statements. Actual results may differ materially from those indicated by forward-looking statements due to a variety of risks and uncertainties. Please refer to our SEC filings for a detailed discussion of these risks and uncertainties. Also, the discussions during this call will include certain non-GAAP financial measures. Reconciliation to these measures to the most directly comparable GAAP financial measures, are included within the earnings release found on our website. In addition to the earnings release issued this morning, we have posted a quarterly presentation on our website at investor.zimmerbiomet.com, to supplement the content we will be covering this morning. With that, I’ll now turn the call over Bryan.
Bryan Hanson: Thanks, Derek. Good morning and thank you for joining us today on my first earnings call as President and CEO of Zimmer Biomet. Since joining the company six weeks ago, I’ve had the pleasure of beginning a dialog with our key stakeholders, including many of our customers and distributors, senior Zimmer Biomet leadership and team members from around the globe. I’ve also connected with a number of our investors in addition to analysts who follow our stock. Candor and transparency have been important parts of this process and having an active and continuous dialog allows me to integrate a broad range of perspectives in developing our plans to lead Zimmer Biomet to higher levels of innovation, commercial success and profitability. Through these meetings, I’ve been gaining deeper insight into Zimmer Biomet’s operations and opportunities, both what we’re doing well today and importantly where we need improvement. Overall, my initial impressions have reaffirmed our rationale for taking the job as well as my confidence that my background aligns well with the work that the Zimmer Biomet team does and what needs to be done to position the company for improved performance. In speaking with our stakeholders, it’s clear that Zimmer Biomet is working from a strong foundation that includes the industry's broadest portfolio, a robust commercial pipeline, meaningful market share in key end markets and world class sales teams. By virtue of those strengths, we also have the potential to go beyond our share of leadership and large joints to drive diversified growth in a number of attractive markets, such as sports medicine, extremities and trauma. Our global scale and depth of portfolio also position us to continue expanding access to our solutions in under penetrated patient subset in global markets. In terms of our innovation capabilities, Zimmer Biomet is uniquely positioned to leverage platform technologies across our entire portfolio, including advanced proprietary materials and surgical robotics applications. As a company, we plan to build on this foundation. We will have an unwavering emphasis on patient safety and quality excellence, creating an engaged and innovative workplace and working to position the company to deliver top quartile total shareholder returns. And on a personal level, I've been inspired by the way surgeons have expressed their confidence in our portfolio and in our people. Zimmer Biomet’s 90-year reputation has been built on serving the needs of patients and surgeons and that resonates with my own values. All of that said, I'm not naive about the company's current challenges. I'm committed to turning Zimmer Biomet’s performance around with a deliberate emphasis on rebuilding revenue momentum in the near term as well as execution that leads to value creation. To get us there, I plan to draw on what I've learned from leading and building large global medical technology businesses. Working closely with the management team at Zimmer Biomet, we have been reviewing the 2018 operating plan to clearly define our go-forward strategies in a number of key areas. Although our review of the operating plan is ongoing, we have identified several immediate opportunities to improve Zimmer Biomet’s operational execution and address certain near term challenges. First, we will continue completing our quality remediation efforts at the Warsaw North Campus. Our teams have been undertaking this focused work over the past 13 months for the benefit of input from expert consultants. To support the success and quality compliance of our manufacturing network, we will also continue investing in the development of a best-in-class quality management system. Second, in order to return to offense and accelerate sales recapture, we will remain focused on fully restoring the supply of certain key brands within our knee, hip and SET categories. To that end, our teams continue to make progress on increasing the production levels of these products, which have been supply constraint due to quality remediation requirements and the non-automation of the North Campus. I reviewed the team's detailed plans for revenue acceleration through supply recovery and I'm confident as I said before that we have the right overall strategy in place. As I've dug into the details with the team, I see both opportunities and risks associated with the milestones within our schedule. My sense at this time is that these milestones represent more risk than opportunity. We will provide more details on our progress in this area when we provide full year guidance on our Q1 earnings call. Turning to our commercial strategy, our immediate priorities are to restore supply, engage with the sales channel and return to offense. I carried a sales bag when I started my career, which means I absolutely understand the vital role of the commercial team. Zimmer Biomet’s leadership is fully committed to reconnecting and rebuilding trust with our sales forces as they engage with our customers. In addition to sales recapture, we will also be focused on the significant number of commercial releases we have scheduled in 2018, including the critical additions of cementless and revision systems for our Persona knee family as well as the limited launch of the robotic application for knees. We have stressed to our commercial leaders that these new product introductions must be launched with excellence to ensure that they are catalysts for growth and share recapture. Last but not least, we are currently focused on gaining a deeper understanding of Zimmer Biomet’s culture. Together, we will build a cohesive company where our team members are engaged and valued, feel accountable for delivering on our commitments and act with a sense of urgency. Looking to 2018 and beyond, we will be focused on improving the predictability and consistency of our top line growth, which is a commitment to shareholders that I take very seriously. While I recognize that there is a lot of hard work in front of us, I’m confident that with the focused execution of our immediate goals, target investments in this business and a strong culture, we will raise our performance to a higher level and drive sustained shareholder value. With that, I want to turn now to the fourth quarter results. On a consolidated basis, we delivered improved top line growth in the fourth quarter. Our results benefited from several tailwind events in the quarter, including stronger than expected underlying US market growth, which likely reflected a step up in procedures due to insurance dynamics and a recovery from the Q3 hurricane impact. In addition, we experienced an acceleration in growth of our already solid performing Asia Pacific business, which benefited in the quarter from strong distributor orders. Consolidated fourth quarter net sales were $2.074 billion, an increase of 3% over the prior year period and 1.5% on a constant currency basis. Billing day differences provided a slight tailwind to the year-over-year growth. In the Asia Pacific region, we delivered a strong 7.2% quarterly sales growth and our Americas region grew 0.8% in the quarter. In Europe, Middle East and Africa, our revenues were relatively flat at a minus 0.3%. Full year net sales for 2017 were 7.824 billion, an increase of 1.8% over 2016 results on a constant currency basis, which included approximately 130 basis points of contribution from the LDR acquisition. From a market perspective, fourth quarter US knee and hip procedural volumes were quite strong. We estimate that US knee and hip increased around 2.5% during Q4 compared to flattish in Q3. With regard to pricing, we experienced negative pressure of 2.9% during the fourth quarter and negative 2.5% for the full year. Knee sales were flat compared to the prior year and were slightly better than our Q3 growth rate, due primarily to the stronger US market and increased demand for our Persona Partial knee system, which has continued to garner positive feedback. Despite the improved growth rate in Q4, we believe that the gap between our Americas knee growth and the overall market continued to widen in the fourth quarter. Looking forward, we will remain focused on restoring full supply of our knee product line as well as launching a number of important new products to drive future growth and narrowing our gap to market. Hip sales increased 1.6% during the fourth quarter and were driven by our strong performance in the Asia Pacific region where we had double digit sales growth. Although we improved quarterly sales of our Taperloc G7 and Arcos systems, supply constraints continued to limit our ability to meet the demand of these high growth brands. SET sales grew 4.6% over the fourth quarter of last year with numerous products across this category contributing to growth. We drove solid quarterly sales of our surgical portfolio and within upper extremities, we saw strong demand for the comprehensive shoulder during the quarter. Since November, we have received several FDA clearances in this subcategory and we are particularly excited about the US clearance of our Sidus shoulder. However, while we are encouraged that demand for these key brands remains high, we must restore supply before we can fully capitalize on these opportunities. As we work to resolving supply constraints that are a headwind on our SET performance, we will continue to invest in the success of these higher growth businesses. Turning to our dental business, sales were relatively flat during the fourth quarter. While dental sales in both the Americas and Asia Pacific region grew challenges from the restructuring of our dental sales organization in certain key Western European markets continued to impact our performance. We remain focused on our commercial and product initiatives to position this business for a sustainable growth. During the fourth quarter, sales of our spine, Craniomaxillofacial and thoracic businesses increased by 0.5%. While we benefited from strong demand of our Mobi-C Cervical Disc, our spine business continued to underperform due to revenue dissynergies related to our US spine sales force integration. We continue to work to resolve the impact of these dissynergies, including recent senior leadership changes and we expect to realize the benefit of cross-selling opportunities in the future. Our CMF and thoracic business contributed sales growth during the fourth quarter, with continued strong demand for thoracic products, driven by our SternaLock and RibFix Blu brands. With that, I'll turn the call over to Dan who will review our fourth quarter results in greater detail as well as our first quarter 2018 sales and earnings guidance. Dan?
Dan Florin: Thank you, Bryan. I'll provide details on our fourth quarter financial performance and then cover sales and earnings guidance for Q1, 2018. As Bryan covered, our net sales in the quarter increased by 3.0% over the prior year period with an increase of 1.5% on a constant currency basis. Our adjusted gross profit margin was 72.7% for the quarter, in line with our expectations. This was 190 basis points lower than the prior year period due to continued incremental manufacturing and inventory costs, primarily at our Warsaw North Campus facility as well as the impact of price declines. Our operating expenses were higher than provided in our original Q4 guidance due to incremental spending on critical projects in our R&D portfolio as well as investments in our commercial channel. We also incurred additional expenses related to planning and implementing strategies related to US tax reform legislation. Our R&D expense was 4.6% of revenue at $95 million, essentially in line with the prior year. SG&A expenses were $771 million dollars in the fourth quarter or 37.1% of sales, which reflects lower non-sales force incentive based compensation expense compared to the prior year. In the quarter, we recorded pretax charges of $668 million in special items, 150 million of which were cash outflows for quality remediation, business integration and other items, the non-cash charges related to intangible amortization, certain legal matters and the goodwill impairment write off related to our spine business unit. Our diluted earnings per share for the quarter were $6.16, which includes a one-time tax benefit of approximately $6.40, resulting from the recently enacted US tax reform legislation. This adjustment is reflected in the income tax line and has been removed from our adjusted earnings. Adjusted fourth quarter 2017 figures in the earnings release also exclude the impact of the other special items that I mentioned. Adjusted operating profit in the quarter amounted to $644 million or 31% of sales, which was 130 basis points lower when compared to the prior year period, driven by the previously described decline in gross margin. Our adjusted effective tax rate for the quarter was in line with our expectations at 23.4%. Adjusted diluted earnings per share for the quarter were $2.10, a decrease of 1.9% from the prior year period on 204.1 million weighted average fully diluted shares outstanding. A reconciliation of reported net earnings to adjusted net earnings is included in this morning's press release. Operating cash flow for the quarter amounted to $403 million, inclusive of the $150 million of previously mentioned cash special items and our free cash flow was $275 million. During the fourth quarter, the company repaid $300 million of debt, bringing the total 2017 debt repayment to $1.25 billion. I'd like to now turn to Q1 2018 guidance. For the first quarter, we expect revenues to be in a range of $1.955 billion dollars to $1.995 billion, which includes approximately 300 basis points of favorable foreign exchange impact. On a constant currency basis, our revenue is expected to decline within a range of negative 4% to negative 2%. As a reminder, we have one less billing day in the quarter compared to the prior year quarter, which is negatively impacting these results. This headwind will reverse in quarters two through four, so that for the full year 2018, there is no net billing day impact. The step down from our Q4 revenue growth rate is due to a number of factors, including the impact of one less billing day, an assumption that the worldwide orthopedics market will soften somewhat from the Q4 growth rate, our expectation of a slower growth rate in our Asia-Pacific region in light of a very strong fourth quarter performance, which benefited from distributor orders as well as a temporary reduction in elective procedures in the UK. Regarding North Campus production, we expect our Q1 production output to be at least at the level we achieved in Q4. While we are not providing full year guidance today, I would like to share some details to help your models. We expect improvement from our Q1 sales growth rate as the year progresses, driven by the normalization of billing days, increasing supply levels as we progress through the year, enhanced commercial execution and to a lesser extent, the contribution from new product launches. Importantly, these new product launches should create momentum for our sales teams as we exit 2018 and enter 2019. Turning to EPS, for Q1 and the full year, our gross margin rate will be in a range between 72% and 73%, likely towards the lower end of that range in Q1 and improving slightly in subsequent quarters. Our gross margin rate will be a significant headwind for us in the first half of 2018 compared to the first half of 2017 and then should normalize in the second half of 2018, as we anniversary into the North Campus variances. We will continue to invest in critical areas on the commercial side of the business with a bias towards investments that drive near-term growth as supply recovers as well as core R&D initiatives, including the knee and robot projects previously mentioned. As we continue to assess our 2018 operating plan, there will likely be further changes to our investment profile. As a result, our first quarter projected diluted EPS is in the range of $0.73 to $0.88. After the elimination of amortization, inventory step up and special items, our adjusted diluted EPS is expected to be in the range of $1.84 to $1.91. This guidance assumes a first quarter effective tax rate in the range of 19% to 20%. In addition to my prior comments on gross margin, to help you with your P&L models, you should expect our full-year adjusted effective tax rate to be in the same range as Q1 between 19% and 20%. To be clear, we plan to reinvest the tax savings into the business to drive top line growth. Further, as we mentioned earlier this month at a conference, we have a year-over-year expense headwind on non-sales force performance based compensation programs. This headwind, which approximates $35 million is a result of not paying out full bonuses in 2017 due to shortfalls in operating performance. The majority of that expense is recorded in SG&A. We expect our Q1 2018 free cash flow to be in the range of $250 million to $300 million. As a reminder, our goal is to allocate substantially all of our free cash flow towards debt repayment. Finally, please note our guidance does not include any impact from other potential business development transactions or unforeseen events. With that, I’ll turn the call back over to Bryan. Bryan?
Bryan Hanson: Thanks, Dan. Before we move to Q&A, I just want to take a minute and thank Dan. Over the last six months, he decided to not just have the hat of CFO, but also become CEO of the organization and I can tell you from talking to people, his leadership during that time really made people feel confident about the business. I just want to say thank you for the effort that you put in over the last six months and for the time that we've already spent together and I look forward to working with you. With that, I'll turn the call back to the moderator who will begin the Q&A portion of our call.
Operator: [Operator Instructions] And our first question will come from Mike Weinstein of JPMorgan.
Mike Weinstein: Bryan, as a starting point before we kind of get into the details of the business and some of the comments, [indiscernible] in the feedback that you've gotten from the commercial teams, from the distributors and reps, as you've had some early meetings with them, I know you've been traveling around a fair amount early on, kind of what you've heard on their view on the business, what the current state morale is and their relative enthusiasm for the changes that have already taken place and what's to come? Thanks.
Bryan Hanson: So I've spent as much time as I possibly can with the commercial team so far, had an opportunity to spend a lot of one-on-one time with folks in the field. As I think you know, I've met with you before. And really, it's kind of a hand-in-hand, let's go visit the customer, let’s go to cases and let me live the life that you've got in that day that I’m there. And I got to tell you that, that combined with the recent kickoff meeting that we had for the Americas where there were a couple of thousand sales representatives there, I've had really good exposure early on to the organization. The first thing I would say is that we, no doubt in my mind, have the best sales organization in the industry. I feel very confident about that. This is a team that that is engaged with the surgeons, it’s extremely knowledgeable about the space, has energy around, what it is they think we can do. And so, so I'm very confident that we've got the right team. But what I see inside of it though and what I'm hearing from the organization is there has been, what I would define as a, maybe a lack of focus from senior leadership and engagement with the sales organization. They felt a little orphaned if you will and that’s going to change. It's changed already. I feel like just the time that I spent with them has been getting out pretty quickly, it’s spreading almost like a wildfire if you will the news of the time I’ve been in the field and I had an opportunity to spend about an hour, presenting to that broad team at the kickoff meeting and I can tell you that my enthusiasm on the stage was fueled by the enthusiasm that I felt from the audience and what they were hearing. And so I got to tell you that we're early on in this, but I believe we've already made as a senior management team, with the focus we've had with the commercial organization an impact. So to sum it up, I think we've got a great team. I think that we've got to work on the morale and the engagement and we've already begun that process, but I feel real confident about the team.
Dan Florin: This is Dan. I'll just add to that briefly. Having been to a number of these sales meetings before, I can tell you the energy, enthusiasm and excitement of our sales team is off the charts compared to where it's been and the energy in the room was -- people were just using it with enthusiasm and Bryan did a terrific job and really connected with the sales team.
Mike Weinstein: That's good to hear. Let me follow up on the supply side. Bryan, your comments, is that with -- I think you said the milestones represent more risk right now maybe than opportunity, could you just update us on where you are on supply coming out of the North campus and maybe set expectations for the year in terms of the cadence, so when you think you'll see products and when you'll be in a better position to go on the offensive?
Bryan Hanson: So I'm going to give you kind of a comprehensive view of this thing because obviously I've been thinking a lot about it. So I apologize for probably a longer winded answer here. But I think, first of all, it's important recognize, I think Dan said it earlier that our performance out of that factory has stayed consistent with our expectations. So right now, we're consistent with what we've been saying. And I want to be real clear, the strategy that I see for the supply and recovery and really the comprehensive project plan that we see around this is sound. I have confidence in it. I do feel that the timeline we've communicated in the past, at the end of Q2, recovery is a possibility. So I just don't want to take that off the table. I do feel that's a possibility. That said, I do think there's more risk probably in a timeline than opportunity. And let me just give you an explanation for this and I kind of bifurcate my thinking on this in two different ways. The first piece that I think about is just the raw project plan, the risk of actually achieving a timeline of recovery, so that plan itself. And the second piece is what I define as kind of the delay that I think we're going to see in translating that recovery, that product recovery into accelerated revenue growth. Right? So those are kind of the pieces that I break this up and let me just first hit these, the supply piece. Again, I think that there are key milestones that we have in front of us that I think both have risk and opportunity in them, but the complexity of the project just tells me, just given my history with projects like this that most people believe inside of these timelines that things are going to go as planned and I put that in kind of air quotes. What I've learned over the years and I think most people have that run these complex projects is things never go as planned and unplanned events always occur. And as a results of just knowing that and kind of the spicy sense if you will and looking at it, I believe there's more risk than opportunity in the timeline that we see. So it just comes down to the complexity, history with projects like this, you usually see more slippage than you do see people pulling it in. That's the first piece. The second piece is really a thing that we probably most care about, which is how do we then take the supply recovery and turn that into or translate that into actual acceleration of revenue growth. And I think it's going to be more delayed than what maybe you're thinking and maybe even what I thought when I came in and a lot of this is as a result of the time I’ve been spending with the sales organization. And so here's my sense on this, this is kind of on two fronts. One, there's just a lack of trust right now from the sales organization for corporate. We have given them timelines that we have failed on and they've gone out through the information they have received from us, approach the customer only to have to pull back again. And so that lack of trust is going to create a situation where even when we have supply available, they're going to wait, they're going to wait. They've been defending their surgeons through logistics hoops they've been jumping through. They're going to wait with this new inventory, defend their surgeons without having to jump through those hoops and when they feel really confident that those surgeons are in place and intact, then they're going to go on the offensive. And when you think about this, and I’ve been in sales and I understand the process, it isn't a light switch that occurs. You've got to go out now and build the trust of folks because they haven’t been on the offensive, right, you've got to build the trust of other surgeons, you've got to build your offensive bullpen and then ultimately as a result of that bullpen, you start converting business. So there's a delayed impact of supply recovery as a result of that. So I just want to make sure that that's clear in the way that I'm thinking about it now and as I've gotten more educated on the topic and spent time with our reps. Again, I'm not going to give you specifics right now because that's going to come in our first quarter earnings call with guidance, but I will give you just kind of the way I'm thinking about it right now and you should be thinking about it the same way. I see this as a gradual revenue recovery into 2019. And if you're thinking about it in that way, I think it's the right way to put a lens on this and as we get smarter on the topic and burn down some of these risks through the milestones, we'll give you more insight, but that's where my thinking is right now.
Mike Weinstein: And just before I let others jump in, I assume the FDA has not been in yet for re-inspection.
Bryan Hanson: They have not and obviously that's a very material milestone that we're paying attention to.
Operator: Our next question will come from Bob Hopkins of Bank of America.
Bob Hopkins: My first question, I just wanted to follow up on some of the things that Mike was talking about as it relates to your comments about risk versus opportunity. And I just want to be very clear on your pipeline and whether or not to comment on risk versus opportunity, what that might imply for some of the things you guys have been talking about for a while now, specifically, could you comment on the timelines for cementless, for Persona revision, for the robotic platform, are those affected by the potential for more risk and opportunity as it relates to the North campus?
Bryan Hanson: So I’ll give you just kind of my broad thinking on this, because obviously again this is a vector that I've been spending a lot of time on and I feel really good about the product pipeline that we've gotten. And as I said before, I've been out with stakeholders a lot and you can have the general managers and the marketing folks who rate people and give you a feel for whether or not we've got the right products in the pipeline. But what really sells it for me is when I go talk to surgeons who know about the pipeline and I talk to our sales reps who ultimately have to sell the pipeline and both those stakeholders are selling it, we've got the right pieces inside of the product portfolio and they're excited about getting those in the field as quickly as they can. I feel pretty confident about the timelines that we have. There's always in these things as you get closer to the end launch date, you get some slight slippage, but I don't see anything material there. The key to it though is this, right? When you look at just taking knee as an example, because it’s a big franchise for us, we've got the partial knee out now, using Persona technology which is getting great traction, it's a big first step in the right direction. We’ve got cementless coming up in the timelines we've communicated are ones that we still feel comfortable with. We’ve got revision and then robotics come in as well. That to me is a full portfolio that we need to truly get back on the offensive, all right, truly get back on the offensive. The key thing though is it's not the limited lines. That's where you're doing the learning. Really for me is when we get those out, get through the limited launch, get into full launch, that's when you've got full capacity with the bag and the way you should be thinking about that particularly with revision and robotics is the full launch will come anywhere from four to six months after a limited launch, which put us close to the middle of 2019. So if you're thinking about full capability, full bag in that very important segment for us in the knee, that comes around mid-2019. It doesn't mean we won’t get an opportunity to take advantage of the stuff that launches in between that, but the fully loaded for bear, attitude from the sales representatives will come in that mid-2019 timeframe.
Bob Hopkins: And then just one other question I wanted to ask is a little bit more on -- centered on the fourth quarter and the comments on the first quarter and the guidance. Could you maybe help us sort of quantify some of the tailwinds that you benefited from in Q4 that you think will fall off in Q1? But I think you mentioned Asia, the hurricane, maybe the market softening a little bit, just I also assume there's probably a little bit of conservatism in those numbers as well. So maybe just talk -- help us quantify some of the things that helped you in Q4 that you don't think will be there in Q1.
Bryan Hanson: So I'm going to pass it to Dan, but I just want to make a comment. I really do believe as we look at that Q4 to Q1 that this is a realistic number. I just want to make sure that that's clear. I see this as a realistic number with balance on both sides, but realistic in the view that we have on it. And Dan can speak to some of the specifics around it.
Dan Florin: So Bob, in our prepared remarks, we talked about Q4 benefiting from a strong US market, which we had anticipated coming in for the quarter and then ended up being even slightly stronger than we initially guided to. So based on our models, we think knees are close to 3%, hips close to 2%, something in that range. So clearly a strong US market in hips and knees and shoulders and really procedurally across the board in the fourth quarter and difficult to precisely quantify how much of that’s the hurricane. We came into the quarter signaling that could be as much as 30 basis points. I'd probably stick with that type of an estimate. In terms of strength in the US market, we call that Asia-Pacific. Asia-Pac, really since the merger closed, continues to post above market growth on a consistent basis. The team is driving excellent execution in Japan, China, other countries as well. The stocking orders or the distributor orders in the fourth quarter also did benefit us. And then dental actually was stronger than we had expected on Q4. Now, as we approach Q1, we bring in a lot of factors. We do our best at looking at the past number of years in terms of seasonality from a stronger than expected Q4 and what that may look like in Q1. So as we said in the prepared remarks, where our assumption is that the worldwide orthopedic market does step down a little bit more than normal into Q1, as a result of the strength in Q4. So that's an element. We talked about the billing day differences, the Asia-Pac step down because of the absence of distributor orders in Q1 and the UK, the NHS announcing that they were going to push elective procedures out through February due to some capacity constraints that they have over there. And the last part would be, based on the strength of Q4, I think it's fair to assume that our field inventory levels on high running brands are really still depleted. And that will recover as the year progresses. So hopefully that gives you a sense of the tailwinds and the headwinds in to Q1.
Operator: We will now move to David Lewis of Morgan Stanley.
David Lewis: Just a quick clarification on Bob’s question, there is a lot of factors Bryan and Dan that vary from fourth quarter to first quarter. The one factor that does not appear to be a headwind, fourth to first is some change in the supply related dynamics. It sounds like fourth to first, supply is either at or better than it was in the fourth quarter. Is that a fair way of thinking about it?
Dan Florin: Yes. That’s a good assumption. To me, it’s a non-variable when you look at the difference between Q4 and Q1.
David Lewis: And then Bryan, kind of a strategic and financial question for you. I mean, if you got the guidance the first quarter and obviously it doesn't reflect necessarily all 2018, your gross margin is pretty close to what we thought. There does appear to be a little more incremental SG&A investments, some of that was compensation, which we knew about, but it does appear that you are going to reinvest in this business. Could you share with us a little bit about where you think that reinvestment needs to go? I think most investors are supportive of you doing it. Any thoughts you have on where you think it's needed I think could be helpful for people and then I had one quick follow up for Dan or you.
Bryan Hanson: So I am 100% on the same page. We've got to have investment. We -- as an organization, we’ve been chasing the bottom line because we've had top line misses. And as a result of that, just obvious thing that we should have been doing to invest for growth is to have them happen in those moments, for all the right reasons, but the impact of that is negative now because we've got some catchup that we need to do. The things that we're going to be concentrating on is obviously investing for growth as a primary vehicle for growth. There is going to be two kind of pieces to this. We're going to have a biased near-term growth I think you guys would want that as well, but inside of it we’re still going to make sure that we earmarked money for research and development. We've got to spend more on research and development and bring on innovations that don't just help us in the near term, but also help us in the longer term. So, some of the money will go to R&D and unfortunately, there will be a longer tail to the impact of that from a revenue recognition standpoint. But that will be where some of the money goes. The rest of the money is going to focus on the commercial organization, which is really where we can invest, take advantage of the portfolio we already have and I see that in just broader investments in commercial structure to be able to have more feet on the street, some of those being specialized so that we can take advantage of the opportunity in SET, but a lot of it will be focused on just driving incremental feet on the street, focused on driving the portfolio we already have and taking advantage of the new products that we're going to be launching and very importantly, beginning to diversify our growth engines in to sports extremities and trauma.
David Lewis: And then just last question for me is just, this quarter is sort of remarkable within hips and knees for a couple of reasons. One, it's the strongest hip and knee quarter you posted in a year, but it's also against the strongest pricing headwind I think you've seen in two years. I think you’ve talked about the factors of that hip and knee momentum that may not occur in the first quarter, but Dan or Bryan, what is that pricing number, 3.5% in hips and knees, was that sort of mix related in the fourth quarter and how do we think about that number heading into 2018?
Bryan Hanson: Dave, we've seen fluctuations quarter-to-quarter on price declines. So at a company level, negative 2.9% in the fourth quarter, Q3 was negative 2.1%, so actually below the average. So second half was down 2.5%, first half was down 2.5%. So we're not concerned about that. We're still operating in that type of a range. Clearly when you get some distributor orders, you get some customer mix that comes into that map, but overall we still see price decline in the band that we've been experiencing recently.
Operator: Our next question will be from Matt Taylor of Barclays.
Matt Taylor: So I just wanted to follow up on that pricing question. I was curious because of the magnitude of this quarter. Do you think that your supply constraints are impacting your ability to get price or negatively impacting price at all or is this just within a regular band variance?
Bryan Hanson: Yeah. We're definitely looking at it right now as a -- just a variation that occurs, probably more due to mix. If you think about APAC for instance with the strength that we saw in the quarter, for the same products in APAC, you typically get a little lower price and so that mix, I'm sure, has some play in to the quarter, but we're not looking at this as something that’s sustained or that we're worried about increasing over the next 12 months. And when I think about the supply constraints, I don't feel that the organization is putting price reductions in place to retain customers, which I think is what you're asking. So I don't feel that that's happening right now and we've got pretty good controls over pricing flexibility in the field and our confidence level that that's not occurring.
Matt Taylor: And just to follow up on the supply discussion, we noticed that you had taken off extremities from the watch list in the presentation, you didn't mention that they were constrained. I guess my question is can you talk about some of the lines of product that have improved or not improved and just remind us sort of where you are constrained now.
Bryan Hanson: Yeah. Just quickly that might have been just an oversight, the extremities as we've been talking about, continue to be constrained as a result of the North campus. So I'm not sure what we missed that, but that would be consistent with what we said before. It is still impacted and what I would say is that generally, the way I think about supply recovery is this and again this is coming from direct interaction with the field. Even though we're getting rolling recoveries, certain categories are getting more healthy than others. The sales organization is still waiting to get the full recovery. They still are concerned when we have other issues with other products that we're going to creep into the spaces that we've already recovered, because we've had lapses like that in the past. So it kind of goes back to that trust piece. Even though things are recovering, they’re waiting for full -- truly a full comprehensive product recovery before they go on the offensive. So, I think we're not seeing the translation yet even in those areas for recovery, because people are waiting to get it all there so they know they can go on the offensive. A perfect example of that, Dan maybe you can provide the Oxford in what you’ve heard on –
Dan Florin: Sure. Yeah. I think Bryan’s point is an important one, which is that lack of trust in the field, the hesitancy to go on offense and the need to have the full bag in order to truly drive offense. So, there are brands out of the North campus that we've restored to full supply as we expected, but the translation to revenue acceleration and that timeline that Bryan is talking about is an important distinction. Part of that is trust, part of it is the duration of the supply situation, but still feel very optimistic that out over time, we're going to bring all of the supply and new products together to drive that acceleration into 2019.
Matt Taylor: You want to give maybe the specific examples, because I think it really kind of remains true with even telling the sales organization, we're in full supply in Oxford and seeing a delay.
Bryan Hanson: Sure. Yeah. With Oxford, we’re at full supply in Oxford, entering the fourth quarter. We're excited to have the Persona partial knee in there as well. So now you've got a full bag of mobile bearing and fixed bearing in the partial knee space. But still even with that full supply of Oxford, saw some delay in terms of the revenue uptake on Oxford. It's taking longer than we expected to see that accelerator. So that’s I think a proof point of what we're describing.
Operator: We will now move to our next question and that will be from Kristen Stewart of Deutsche Bank.
Kristen Stewart: Just kind of I guess big picture for you, I guess to what extent, I guess, are you still excited about costs taking kind of a life of its own, I kind of feel what extent do you still feel very optimistic about the future for Zimmer, because I feel like this -- you've kind of pointed out a lot more of the risk factors. So maybe if you could take a step back and talk about maybe some of the things that you've kind of come in and looked at Zimmer, the pluses and the minuses, since taking over the helm six weeks ago that you might be more excited about longer term as you look at the company more strategically over the next several years? Is it just kind of your view of looking at Zimmer from an orthopedic Company, can you maybe talk about how you may look at Zimmer from shaping the company more directionally? Is it diversification? Is it just getting the company back to -- are you satisfied with a low single digit growth rate? Can you just talk more directionally over kind of a longer term perspective?
Bryan Hanson: Yeah. So Kristen, first, I'm going to correct you. This is Zimmer Biomet, not Zimmer and I think it's important because one of the key things that I'm going to be concentrating on is culture in this organization in some of the things that are in a way of that culture creation right now is we just haven't yet become a fully integrated new organization. There's still camps of Zimmer and Biomet and we need to create the Zimmer Biomet, forget the legacy companies. And sorry to do that, but I think I would be remiss in not doing that because I know that my own team is listening right now. So that was a focus from them. So just to give you a sense for, I kind of like to think about things that I experience over the last month that maybe I didn’t like as much as I would have expected and then things that I like more than what I expected. And then maybe I can kind of distill that to say, based on those things, how am I feeling about accepting the job and the future of the company. I’ll start with the negative and finish it with the positive. The things that I probably experienced in a more negative way than I expected is just the complexity and the challenges, the scope of the challenges associated with quality remediation and supply recovery. It's more complex than I think I assumed when I came in. So that would be on the negative side obviously. The culture gap, which was kind of what I was just referencing on the Zimmer Biomet discussion we just had is wider than I expected. And I got to tell you that this organization, because of what they've been through, throughout the organization, is fatigued. I can feel the fatigue in the organization and when the culture is not rock solid, that fatigue is exponential, right? And I think that's the issue that I'm seeing and that was -- it's probably not as good as I was even hoping. So those would be the things that on the negative side I’ve experienced over the last 30 days or so. On the positive side, we’ve got great employees and I’ve spent a lot of time in skip level meetings, one-on-ones, just walking around, popping in people's cubicles, spending time out in the sales organization, spending time in our factories. We have a solid team in the sales organization as I think I've said already is even better than I thought. We have a first class sales organization. I didn't. Like I said, that’s a surprise, but it's a relief, right. The portfolio is very attractive. I thought that coming in, but I'm hearing from our surgeons partners that we have the deepest, broadest portfolio in the industry that is the access to what obviously and they're very excited about the portfolio of products we're going to launch, so that my confidence level there is higher than it's ever been. This kind of surgeon loyalty and again I've spent time specifically with surgeons and the stickiness associated with that customer is better than I've ever seen in any business that I've been with. And so that’s a surprise on the positive side. Here's one of, maybe a little softer, but it is really important to me, the employees that I've met feel very open to me, most desire a different form of leadership, a more inspirational positive form of leadership and this is something that I love to bring. And so I'm not feeling any resistance at all to it. I'm feeling an acceptance of it and that obviously is one of the things that I was hoping for, but I'm realizing and it’s still kind of, it’s still these things. I feel and I think the takeaway has got to be this. The cadence of recovery may not be what you were hoping for, but my confidence level right now is better than ever that this business is going to get turned around, I’m 100% confident it's going to happen based on what I'm seeing. And to answer your question further, once we get to that stability place and we get our fair share of the market where I already play in, then I do want to take a step back and take a look to say, are we in the right markets to allow for a better weighted average market growth and ultimately through that weighted average market growth, allow us to grow in that mid-single digit growth rate at some point in the future, because that's the only way you're going to get to double digit EPS growth on a consistent basis. And so I don't want to go there yet. I'm not always patient, but right now I'm trying to be patient, put that on the back burner. Let's get to health first and then ultimately let’s take a look at the portfolio and make the right decisions. So hopefully that answers your question.
Kristen Stewart: And then just one for Dan I guess and maybe you I guess in terms of just the guidance, what is the main sticking point or what's the main catalyst in terms of determining what the investment trigger is going to be? Is it mainly just what the right level of spend is for the remediation? Is that why they’re hesitant to push off into the first quarter to get 2018 guidance in terms of giving why not a wide range for 2018 and set a no range for 2018 since you’re giving SG&A and gross margin guidance?
Bryan Hanson: I will just give you my viewpoint on it, Kristen and then Dan, he will provide any color. When I look at this as I’ve mentioned, there are a lot of moving pieces and parts right now, pretty material events that need to happen here over the relatively short term. And until we get through some of those and in either one burn down risk as a result of passing those milestones or experience risk, I think that we just want to be cautious in giving you guidance until we get a little smarter on those topics. And the only thing that's going to make us smarter beyond the assumptions that we made is actually pushing through the milestones and experiencing the good or the bad. And when we get to the earnings call after Q1, we're going to be a lot smarter on that topic. And so we're really just trying to enable guidance for you that is more realistic and more informed and that's the reason why we’re delaying. There isn't a specific thing. There are a number of things that are pushing us in that direction. And Dan, I don’t know if you have any other color around it?
Dan Florin: Well, Kristen, I would just say that we've tried to give you some markers on certain elements of the P&L so that you can reflect those in your models. Look, I would expect that the consensus estimates for both revenue and EPS are probably going to come down after today in light of what we have shared, but that does not diminish at all the long term opportunity that Bryan has talked about.
Operator: We will now take a question from Joanne Wuensch from BMO Capital Markets.
Joanne Wuensch: Can we also take a look at what the milestones are or the steps are in our near term that will increase our confidence in giving the guidance or just over the next 12 months. I feel like we have some sweeping verbiage on execution in North Campus facility and supply, but is there a way to get just a little bit more granular on what really needs to be checked off?
Bryan Hanson: Yeah. Probably, one of the and I'm not going to get into too much detail, but I think just probably when we think about supply recovery, which I think all of us would agree is one of the most important components of that revenue acceleration we've been talking about, the first and foremost, you've got to again kind of bifurcate the activities that we've got in place, one of these is taking those processes that are most important to us with high volume products that are non-automated in the North campus and moving them to contract manufacturing that ultimately have a more automated process, proven track record of supplying products like these for others in the industry and transitioning that volume to them. Just inside that one piece, that has to go right, this is not just one or two codes, these are families of codes. There's a lot of the SKUs that have to go through this process. There is a verification, and validation process that ensues. And there's nothing you can really do to speed this up. It's time sequence because a lot of it would be like fatigue testing for instance for an implant, but you can get through a million different iterations or movements with this product to check speed testing, find out that it fails, because you got to get 5 million. Then you got to find out why it failed and restart the whole process. So verification and validation is something that sounds very easy and ultimately we will absolutely get through it, but things always go wrong inside of that and you got to restart the clock as a result. So one of the biggest things that I'm focused on is what is our target dates associated with families that we have that we're moving out on that verification and validation timeframe, when do we think that should close, right? And so when we hit those and we passed them and that will be, we should hit all of those before the quarter earnings call. And so we'll get a lot smarter on whether or not we had major issues or not. That's just one example of things that need to go right to be able to get that supply recovery because the only pathway to full capacity is through that contract manufacturing. On the other side of the coin, when you look at our factory in the North Campus and one of the big things that Mike mentioned is, the FDA still has to come in and sanction what it is we're doing with suppliers -- and with the quality remediation. We have a great team working on this. We've been working on it for a month. We're spending a lot of money in this area and a lot of effort of senior management and we have consultants that I think are some of the top notch folks in the industry following us on this and giving us their unbiased view of whether or not we're achieving what we said. But at the end of the day, the FDA has got to come in and look at what we're doing and agree with us. If they for whatever reason come in and disagree and there are further things we have to take action on with remediation, that could impact our ability to supply product out of that North Campus. These are just two examples of pretty significant things that we just got to have time to tell us whether we're on the right track. There are many others. I want to oversimplify, but those are pretty big milestones.
Joanne Wuensch: And then a little bit more of a specific question. Can you pull apart a little bit what's going on in your spine and CMF franchise, as it relates to LDR and then the broader market?
Bryan Hanson: So if I kind of break those businesses up, within spine and CMF, obviously two different businesses, but CMF is actually doing pretty well. That's a solid team that we have, good strategy that continues to deliver results and really help that overall franchise out. So, I’d just say, kudos, let’s keep doing what we’re doing over there and get more of it. On the spine side, I think we've got all kinds of opportunity in spine. This is an amalgamation of different acquisitions over time, LDR being the most recent and where we're falling down right now is, the channel integration is not going as planned and we're experiencing, as we said in the comments, dissynergies associated with that channel integration. And just to be honest, we had to make some changes at the senior leadership team for that organization. We think we've got the right team in place right now. Now, got to get focused on reversing some of these dissynergies and getting a better channel strategy in place. I do believe that can happen. It’s going to take time because just looking at it, it's not anywhere where we needed to be and that we've got to unwind some of the things that have occurred there. But at the end of the day, when that gets past us, we have a very full portfolio that's exciting for our customers and exciting for our sales reps. We just don’t have the channel strategy to implement it right now.
Operator: And that question will come from Richard Newitter of Leerink Partners.
Richard Newitter: I was hoping to just on the outlook that you plan to provide next quarter and I appreciate you don't want to go too far in advance of yourself, but maybe just the question is a little bit more on the process. Coming off of a period here, where we haven't been able to fully bank on kind of the given timelines or thresholds that you provided, what's going to change in the way that you approach kind of the under promises over deliver and within the context of you seem a lot of things that are out of your control, how should we be thinking about when you do provide that outlook? What kind of bottoms up processes you need to change at the organization so that you feel confident that whatever you do provide, we can kind of take at face value?
Bryan Hanson: So some of the things that I've learned over the years and I've been blessed by working with two very good companies, Covidien with a lot of time there and Medtronic more recently. And on the Covidien side, there is a level of discipline and rigor that I received from my old boss and mentor [indiscernible] and that rigor and discipline will be something that we put in place here and I'm not saying it doesn't exist, but the level of focus that I will have with this team in putting a process together that allows us to feel more confident in the guidance that we give will be something that we do. And not new to me and there is a process that I'm used to following and we're going to make sure that we bring that here. And we've got good people to be able to do it. It's just a -- it's a level of discipline and rigor that I've seen that I want to make sure that we have here as well. So that's one piece and I think it would be helpful, we’re obviously not ready to give 2018 guidance, certainly not anything beyond that, but I do want, again with this idea of full transparency, I want to give everyone a view of kind of what I'm thinking about this right now and I kind of again think about it in three major components that we've got to get in front of us here. The first one as I've already talked about is supply recovery and I don't want to forget that supply recovery is the first step. The second step is translating that supply recovery into actual revenue acceleration, right? And I’ve talked a little bit about why I think some delays could occur there, but that's got to happen. It's got to be supply recovery acceleration as a result. Second piece is, we’re going to launch these products, excellent product pipeline that I’ve talked about and we got to get to full launch as quickly as we can. I'm seeing that as being somewhere in the mid-2019 timeframe but that has to happen and we've got to do it effectively, right? And then the second -- the third piece to me is really around this idea of culture shift. I know that people consider it soft. It is a very important thing to me and right now, we have gaps in the culture and we've got to enhance the culture. So those three things need to happen. I just think logically about those from supply recovery and resulting acceleration, that's going to happen later in the year guys. It's later than what you've been thinking, because translating that into revenue growth is going to take longer than maybe what you're assuming. I already said the pipeline is really full swing in mid-2019 and anyone who's done any kind of a culture change knows that it takes time. We're having immediate impact in this area. We're going to get quick results out of the gate, but to make it sustainable, it's just going to take time. It's a continuous improvement game. So when I just kind of put all those things together, I think realistically the way we should be thinking about this is a gradual recovery towards market growth if you will through 2019. So think about it in that way. That's where I am. I'm going to get smarter on this topic. I'm going to learn more as we go and the very things that we just said as we burn down risk areas, but this is the way I'm thinking about it today. Some of you may have a hope for a faster recovery than that and I get it and potentially maybe it can be, which is based on everything that I'm seeing right now, I'm setting the expectation that I think is realistic that that's probably not probable. Okay. It is likely going to be what I just said. It would be a gradual recovery through 2019. So hopefully that helps provide color, at least in the way we're thinking about the business right now.
Bryan Hanson: Okay. I think that’s the last question. I like to -- we just threw a pot at you in a very short period of time. Some of it probably stuff you didn't want to hear, didn’t expect to hear. At the end of the day, the whole idea behind this from my perspective and Dan’s is, we want to be as transparent with us as we possibly can and that was the intent of the conversation today. Let you know what we know, up to a reasonable point obviously. We didn’t get to this place overnight and you shouldn't expect us to be able to recover from it any time soon. It's going to take some time to get there. That said, based on everything I've learned, I am more confident than ever that this business is going to turn around. Although the pacing may not be what you expected or hoped for, I'm 100% confident that the end game is going to be something you're going to be very happy about. So thanks so much. I appreciate you joining the call today. I'm looking forward to connecting with you between now and earnings call, I’m sure, through various events, but really looking forward to connecting on the first quarter earnings call as we give guidance for 2018. Thanks so much.
Operator: And thank you again for participating in today’s conference call. You may now disconnect.